Operator: Good morning, and welcome to Skyline Champion Corporation's Third Quarter Fiscal 2023 Earnings Call. The company issued an earnings press release yesterday after close. I would like to remind everybody that yesterday's press release and statements made during this call include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company's expectations and projections. Such risks and uncertainties include factors set forth in the earnings release and in the company's filings with the Securities and Exchange Commission. Additionally, during today's call, the company will discuss non-GAAP measures, which we believe can be useful in evaluating its commission -- its performance. A reconciliation of these measures can be found in the earnings release. I would now like to turn the call over to Mark Yost, Skyline Champion's President and Chief Executive Officer. Please go ahead.
Mark Yost: Thank you for joining our earnings call and good morning, everyone. I'm pleased to be joined on this call by Laurie Hough, EVP and CFO. Today, I will briefly talk about our third quarter highlights and then provide an update on activity so far in our fourth quarter and the year ahead. I'm pleased to report another solid quarter as we delivered year-over-year growth in sales and profitability despite our strong performance in the prior year period. During the third quarter, we grew net sales by 9% and EBITDA by 13%, expanding margins by 60 basis points. Margins began to normalize now that the impact of FEMA unit sales have been fully realized and our product mix began to shift to achieve a more affordable monthly payment for our customers. We remain steadfast on our key areas of focus, enhancing the customer experience, streamlining our product offerings and transforming the way homes are built and bought. Over the past few quarters, we have seen significant progress in normalizing our backlog because of stronger production capabilities, dealer destocking inventories and easing of supply chain challenges. The backlog at the end of the quarter was down $282 million to $532 million or 35% compared to the September quarter. Lead times improved during the quarter to 13 weeks compared to 19 weeks at the end of September. Normalizing backlogs to pre-pandemic levels of 4 to 12 weeks helps the homebuyer lock in both pricing and financing and also -- benefits our direct sales channels to better meet the needs of their customers. We saw strong year-over-year growth in shipments during the quarter to our community REITs and builder developer channels. Additionally, orders from communities and builders were healthy as backlogs of both of those channels grew sequentially from the second quarter levels. While retailer walk-in traffic is down year-over-year, digital leads are driving good credit quality customers with higher closing rates. As a result, we are seeing year-over-year increases in the number of home deposits at our captive retail operations and our financial partners are seeing an increase in loan applications. We have also seen increased interest in our homes from our future growth channels. We attended the International Builders' Show in Las Vegas last week, where builders and manufacturer to rent customers saw the advantages, our 2 Genesis model homes could give them. In total, we delivered 6,022 homes compared to 6,168 homes in the prior year, a decline of roughly 2.5%. Production volumes were down slightly during the quarter as retailers continue to destock their inventory levels in response to higher carrying costs and rightsizing of their floor plan credit limits. Sequentially, our decline in production reflects the completion of the FEMA units in the prior quarter and the normal holiday shutdowns at the end of the third quarter. Order cancellations have subsided and quoting activity at our manufacturing operations, are trending up in the first part of our fiscal fourth quarter. That said, we expect the retail inventory destocking to continue through the end of March. Demand varies widely by geography with lower orders and backlogs in the South Central regions of the U.S. In these areas, our plants have lowered production rates for the short-term while retaining talented team members for the spring selling season. Consistent with our last earnings call, we anticipate a sequential seasonal decline in the fourth quarter revenue, which we estimate in the high single-digits, putting our second half top line above where we expected and anticipated. In the near term, we continue to focus on streamlining our production as we have seen significant benefits from these efforts. In early January, we started production at 1 of our idled manufacturing facilities in North Carolina. Additionally, we continue to prepare and open our R&D plant in Decatur, Indiana and our Bartow, Florida plant to support the growing builder developer demand, and additional short and long-term housing needs from the impacts of Hurricane Ian. We anticipate that the ramping of these plants will impact margins over the next few quarters as we bring, very needed affordable housing to our customers. As we look forward, home buyers are facing higher interest rates and inflation. As a result, we are seeing traditional site-built homebuyers moving into our more value-oriented factory-built home solutions. Our confidence in the long-term growth potential is further strengthened by the growing upside from the build-to-rent channel, expanded penetration into the traditional REIT channel and the growing interest from midsized builder developers. While these growth drivers will take time to mature, we are excited by the progress and we continue to make and are encouraged by the longer-term impact, the results and the impact to the overall housing accessibility. In this economic environment, we need to continue to invest in innovation by introducing offerings that connect with the growing number of customers who need affordable housing. We are accelerating our investments into production automation and the customer experience. We continue to expand our digital presence by investing in technology and content that engages and educates consumers on the value of manufactured homes. This includes expanding awareness via social media where we can visually demonstrate the great design and quality of our homes as well as allow customers to design and price their homes online. These investments bring additional leads to our dealers while making it easier for our customers to find and personalize their new home. We've been recognized for our advancements in housing as we were recently named the Most Trusted Manufactured Housing brand by Lifestyle Research for the third straight year. I will now turn the call over to Laurie to discuss the quarterly financials in more detail.
Laurie Hough: Thanks Mark, and good morning, everyone. I'll begin by reviewing our financial results for the third quarter, followed by a discussion of our balance sheet and cash flows. I will also briefly discuss our near-term expectations. During the third quarter, net sales increased 9% to $582 million compared to the same quarter last year. We saw revenue growth of $58 million in the U.S. factory-built housing segment during the quarter, which was primarily driven by the increase in average selling price. The number of homes sold during the quarter was down roughly 1%, or 83 units, for a total of 5,749 homes compared to the same quarter last year. U.S. volume levels during the quarter were supported by increased capacity driven by the opening of our Navasota, Texas plant and the acquisitions of Manis Homes and the Factory Expo retail locations earlier this year. Volumes elsewhere in the business were down year-over-year due to reduced production schedules. Plants located in certain markets where demand softened or retailer inventory destocking occurred, realigned production schedules given lower backlogs and holiday shutdowns. The average selling price per U.S. homes sold increased by 14% to $94,200 due to product mix and year-over-year price increases on our core products to offset higher input costs. On a sequential basis, revenue in the U.S. factory-built segment decreased 28% in the third quarter of fiscal 2023 compared to the second quarter of the same year. This decrease was due to the absence of FEMA sales, which were completed in the prior quarter and the plant shutdowns around the holidays. A decline of 21% in the number of homes sold and a 9% decline in average selling price per home is primarily a result of completing the FEMA order in the prior quarter, which drove higher ASPs versus our core products. In addition, we saw a decrease in our core product ASPs sequentially due to a shift in product mix to smaller, less optioned homes and a reduction in our material surcharges on a per home basis. As mentioned earlier, some markets are experiencing softening demand because of retailer destocking, resulting in reduced production levels, which caused our capacity utilization to decrease to 66% during the quarter compared to 72% in the prior quarter. Canadian revenue decreased 15% to $31 million compared to the third quarter last year, driven by a 19% decline in the number of homes sold, partially offset by an increase in the average selling price per home. The average home selling price in Canada increased 5% to $114,800 and was driven by previously enacted price increases in response to rising material and labor costs. The decline in volume was caused by softening demand in certain markets and a shift in product mix. Consolidated gross profit increased 11% to $174 million in the third quarter, while gross margins improved 50 basis points versus the prior year quarter, primarily due to higher average selling prices. Our U.S. housing segment gross margins were 29.9% of segment net sales, up 30 basis points from the third quarter last year, primarily due to the increase in retail sales as a percentage of the total U.S. housing segment, resulting from our expansion of our captive retail operations. SG&A in the third quarter increased to $72 million from $66 million in the same period last year, primarily due to the acquisition of 12 Factory Expo retail locations earlier this year and investments made to enhance our online customer experience and supporting systems, both of which were partially offset by lower incentive compensation. Net income for the third quarter increased 22% to $83 million or $1.44 per diluted share compared to net income of $68 million or earnings of $1.18 per diluted share during the same period last year. The increase in EPS was driven by higher sales and improved gross margin, resulting in improved profitability as well as higher net interest income. The company's effective tax rate for the quarter was 23.1% versus an effective tax rate of 25.6% for the year ago quarter. The decrease in the effective tax rate was primarily due to lower state tax expense and an increase in the tax benefit for R&D tax credits. Adjusted EBITDA for the quarter was $109 million, an increase of 13% over the same period a year ago, the adjusted EBITDA margin expanded by 60 basis points to 18.7% due to gross margin improvement. The structural improvements in our business over the last few years have strengthened our operational capabilities, leading to increased profitability. These improvements also enhance our ability to navigate periods of economic uncertainty, while continuing to service our customers and protect our margin profile. As we move toward the end of our fiscal 2023, we reiterate our expectations of margins normalizing back to fiscal 2022 levels as we anticipate headwinds to our product mix with consumers moving to homes with less, options to offset inflation and interest rate increases and maintain more affordable monthly payments. In addition, we expect some margin compression from the ramp of the 3 new manufacturing facilities in North Carolina, Indiana and Florida. As of December 31, 2022, we had $712 million of cash and cash equivalents and long-term borrowings of $12 million with no maturities until 2029. We generated $85 million of operating cash flows for the quarter, an increase of $10 million compared to the prior year period. The increase in operating cash flows is primarily due to the increase in net income. During the third quarter, we repaid our outstanding floor plan borrowings of $39 million, which the company historically utilized to fund the purchase of home inventory for its captive retail operations. We remain focused on executing on our operational initiatives, and given our favorable liquidity position, plan to utilize our cash to reinvest in the business and for opportunities that support strategic long-term growth. I'll now turn the call back to Mark for some closing remarks.
Mark Yost: Thanks, Laurie. While the current economic environment has raised the level of caution with consumers due to sustained inflation, higher interest rates and global uncertainty. We are confident that Skyline Champion can continue to outperform the broader housing market due to our affordable price points, strategic positioning and our core initiatives. The outlook for demand is supported by the channel opportunities with community REITs, manufactured to rent and builder developers, as well as helping our retail partners adapt to different consumer demographics. In addition, the need for affordable housing continues to grow, and we believe that the elevated cost of housing will drive more traditional site-built buyers to our homes. Before we open the lines for Q&A, I want to take a moment to thank our entire Skyline Champion team, as our consistently strong performance is a result of our focus, hard work and our ability to take care of our customers.
Operator: [Operator Instructions] Our first question is from Daniel Moore with CJS Securities.
Dan Moore: Start with on the retail side, maybe talk a little bit more, Mark, about inventories. It sounds like destocking maybe through the end of March, which is consistent with your prior thoughts. Just how far are we along in that process? And is that more sort of a market-by-market, geography-by-geography phenomenon at this point?
Mark Yost: Dan, it's definitely a market-by-market, dealer-by-dealer inventory destocking. I would say that a majority of the destocking in certain markets has already occurred as we've seen cancellations and order quote activity pick up in certain regions, in certain markets. I would say that the Mid Central South region still has more destocking to do, that's the primary area that we're seeing it today. But I would say it's geography-based and -- most of the dealers and most of the indications we see that will be finalized by around the March time period, which is consistent with what we thought prior.
Dan Moore: Very helpful. Maybe talk a little bit more about retail traffic. I know you're kind of shifting from traditional to digital, but traditional retail traffic quoting inquiries, are you seeing a pickup at all with the recent pullback in rates over the last month or so?
Mark Yost: Yes, I would say that retail traffic, foot traffic has been up since the beginning of the calendar year generally speaking. Digital traffic is still exceeding those levels. So I would say foot traffic was down in the third quarter, about 20% to 25%. It's improved since then since January. Digital has always been strong. So we have seen our deposit activity at our captive retail increase year-over-year by 7%. So people are definitely shopping. People are definitely buying and putting deposits on homes stronger than they were last year.
Dan Moore: Got it. And I appreciate the color. So, I think if I heard correctly, revenue down high single-digits sequentially for the March quarter. Is that correct? And I'm assuming ASPs are down a little, so kind of a low double-digit decline in volumes. Is that the right way to think about it? And just any cadence as we look out maybe a little further into the June quarter?
Mark Yost: Yes, I think the March quarter is consistent with our prior earnings call guidance. So in the March quarter, we anticipated we're holding consistent with what we thought on the prior call. We just had a very good third quarter result. So on a sequential basis, it's down, but it's consistent with what we thought prior -- previously. Overall, in the June quarter, we anticipate the volumes to pick up after the destocking happens and it's our normal seasonality. The winter months are typically our lowest order rates and shipment time period in this kind of December through February, March time period. And then usually, we pick up during the spring time and people start buying again.
Dan Moore: Excellent. Last from me, and I'll jump out, but a consistent guidance from a margin perspective, getting back to sort of historical levels. I think we said Laurie previously that was in the maybe 26%, 26.5% range. Is that -- am I remembering that correctly? And is there some -- what's the sort of magnitude of the incremental pressure for the ramp-up of those 3 new facilities?
Laurie Hough: Dan, yes, in the 26%, 27% range, I would say probably on the lower side of that range given the three new factories starting out.
Operator: Our next question is from Greg Palm with Craig-Hallum Capital Group.
Greg Palm: I wanted to first follow-up on the margin discussion. It's pretty impressive in light of production volumes being down as much as they were that, your ability to maintain pretty elevated margins. So I guess, as a follow-up to some of your prepared comments, anything sort of one-time in the quarter, whether that was just the benefit of lower raw material costs or something else that we should be aware of? And then more importantly, as we kind of think ahead, maybe you can just remind us about some of the structural improvements you made to the business where even if production volumes don't pick up like we expect, maybe -- you're still able to sort of maintain this much, much higher than historical level of margins?
Laurie Hough: Yes, so not really anything unusual in this quarter's results, we did start to see a couple of things happening. And I think are going to continue more strongly in the fourth quarter, and that would be the elimination of or reduction of our material surcharges in the units that are finally coming through production and then also the shifting of the product mix to smaller units with less features and options in order for the consumer to hit that monthly payment that they need with the higher interest rates. So where we probably saw just a piece of that this quarter, we're going to see the vast majority of next quarter's product having those implications. And then as I mentioned, we're bringing on 3 new factories over the next probably 4 quarters. And so that's going to impact margins somewhat. So those 2 -- sorry, I forgot the second part of your question. Oh, the structural changes. The structural changes are primarily streamlining of the product offering and kind of taking a campus approach to that as well. So not only are we simplifying the floor plans and options that we're producing and making it more production-friendly, but we're also on campuses that are and production facilities that are close to one another, streamlining the production of similar products to make it easier for the direct labor workforce to build.
Greg Palm: And do you feel like there's still room for further improvements on the product simplification area. And then it sounds like maybe you're accelerating your increase in some of those investments in automation, I'm guessing that can also have some sort of benefit to margins at some point going forward, right?
Laurie Hough: Yes, so we have certainly room to still go as far as just the general simplification of product offering and streamlining of that product offering. I'll let Mark speak to the automation.
Mark Yost: Yes, Greg, I think we're probably about halfway through that streamlining of product. As far as automation, I mentioned on the call that we have -- we're dedicating certain facilities towards R&D and innovation. So -- on the call, I mentioned we're opening up our Decatur, Indiana facility, which will produce customer products, but it will be kind of an -- automation hub for the company, kind of an R&D center for the company in part, along with we've got some other campuses we're looking at doing that as well. So automation is a different step level change for the company in the future. The innovation that we can see from automation is actually kind of mind-blowing to be very honest with you. It will really transform housing to a whole different level in the country and we'll make an affordable home -- a quality affordable home much more attainable for the general population in the future. So I think that will bring huge efficiencies, not only in terms of the workforce and benefiting the safety, health of the workforce to make it a better job to work at, but it will allow us to do multi-shift and other things because all of our plants today work a single-shift operation. So we can staff a different way, we can run a different way, which will bring greater efficiencies that are outside of just the products and streamlining the simplification.
Greg Palm: Yes okay great. Looking forward to getting more updates on that going forward. And then just lastly, more of a clarification, I think you mentioned that backlogs on community and builder developer were actually up on a sequential basis. In terms of that top 100 builder win that you talked about last year, were there any orders associated with that specifically or are those still yet to come?
Mark Yost: Yes, Greg, I think the community and builder channels have been very strong. Actually, our builder developer channel was up year-over-year in the quarter, 25%. Our community channel year-over-year in the quarter was up 37%. We even saw growth in our Park Model tiny home channel during the quarter. And I think very importantly, as you mentioned, the backlogs for community and builder developer actually increased during the quarter. So it was really all of a, retail issue during the quarter as far as backlogs go. The top 100 builder that we signed up has not put orders into the backlog yet. We anticipate those probably in the March, maybe rolling into April time period when they really start rolling in. So I would expect it late in the fourth quarter, if not early first fiscal quarter of next year in April.
Operator: Our next question is from Phil Ng with Jefferies.
Phil Ng: Can you hear me now?
Operator: Yes, please go ahead.
Phil Ng: Sorry about that. Another really strong quarter, Mark, I think once we kind of flush out some of this retail destock, when we kind of look out to fiscal 2024, how are you thinking about the components from a demand standpoint after you kind of strip out FEMA? Certainly, your commentary sounds, a lot more upbeat than perhaps some of your traditional site-built builders they've talked about what was driving pretty hard at this point?
Mark Yost: Yes. I think I'm pretty optimistic on fiscal '24 going forward. I think right now today, just overall, we see kind of we're at a half-century low in terms of supply of homes for sale and rental properties -- vacant rental properties. So we're at a half-century low on the supply side for housing in general. I don't expect the Fed to make major downward moves on interest rates, employment levels are high, so people will have jobs - for the foreseeable future, they'll just be able to afford less, which puts them into our price point of homes where the traditional site-built builders can't hit those price points. So I expect us to gain share versus the traditional site-built builders after we flush through this destocking. So I think it's shaping up very well for us vis-a-vis traditional builders. And we heard that same commentary Phil, at the International Builders' Show, where we were last week. The number of builders that were very interested in our solutions and the advantages on the cost side and the time side we can provide them were very real and very material. So I think we'll start to gain share in partnership with some of those builders as well to help them solve their challenges during these difficult times for them.
Phil Ng: Got it. Mark, outside of just the HUD code dynamic going through, are there any real bottlenecks on your end from a production standpoint to meet some of that demand if you've got a pretty sizable order from the builder side of things?
Mark Yost: Phil, I think part of the reason we're opening up capacity and expanding capacity in essence, running with excess capacity a little bit is because when builders come to us and need product, it's a different type of order process. They need generally bulk orders. So they'll take either 10% or 20% or 50% of a plant's capacity with their home needs. So I think we need to run a little bit in excess to make sure we can supply that channel adequately, definitely. So I would say that's the main bottleneck is making sure we have available capacity to them that channel and to make sure that we're also taking care of our existing customers and making sure they have the product available to them as well. Supply chain is pretty much cleared today, maybe some HVAC issues still that are lingering, but that would be the main, I would say, most of the supply chain and labor issues are behind us.
Phil Ng: Super. And just 1, last 1 from me. Any color on how chattel loan rates have kind of performed and reacted to this current environment, call it the last few months? Certainly, any color on the spread side would be helpful?
Mark Yost: The chattel loans have performed surprisingly well. I think the traditional 30-year mortgage last I looked this week was 6.4% or 6.5%. We're seeing for good credit score chattel, 700-plus FICO score and 10% down. We've seen loans at about 6.7%, so about a 20 or 30 basis point spread versus traditional 30-year mortgage for good quality customers. If the customers are running closer to a 600 FICO score, only 5% down, then you're seeing spreads are probably 1.5% to even up to 3%, depending on how low the FICO score is. So they could be in that, 7.5%, 8%, 9% range, depending on their credit quality. But for good customer buyers, we're seeing a very tight spread.
Phil Ng: Has that spread come down -- or it's pretty constant, call it, last 3 to 6 months?
Mark Yost: I would say -- yes, I'd say it's pretty consistent to where it's been.
Operator: Our next question is from Jay McCanless with Wedbush Securities.
Jay McCanless: Sorry. Can you hear me now?
Operator: Yes.
Jay McCanless: So Mark, you've shown the Genesis homes now at the Orlando show and then the Vegas show last week. I guess maybe any big difference that you heard from the builders on either side of the coast and where, I guess, given the affordability that Genesis brings to the table, do you think there's, more opportunities out west where you just naturally have higher prices? Would love to get your take on that.
Mark Yost: Yes I think that the Genesis product actually kind of serves builders nationwide, to be honest with you, Jay, depending on what area of the country they're in. I would say that the interest in activity at the current show in Vegas was much higher, and it was real interest. I would say, customers we had numerous amounts of customers who not only provided their information, but actively have solicited on projects that they're working on. We're very interested in quoting out specs. So it wasn't just a walk-by interest. It was -- during the show, we actually saw numerous builders actually starting to quote out our product and understand if it works for their existing pipeline of subdivision projects that they're working in. So I think given the interest rate and affordability challenges the end consumers are facing, along with the increased interest rate challenges and cost of capital challenges that builders are facing, I think it's a win-win with the speed and the availability of the product. And I think they see the same.
Jay McCanless: Yes good traffic through the models was pretty amazing. I guess my second question, now with the acquisition earlier this year, some more wholly owned retail units. Could you maybe level set it for all of this and talk to how many wholly owned retail dealerships you have now? Is there a potential, because it sounds like the homes sold through the wholly owned channel had a higher gross margin. Is that something we should expect going forward? And at some point, might not bracket that out so we can see wholly owned retail versus wholesale sales?
Mark Yost: Yes, I think there are obviously the more vertical you can get with your integrated model, the more of the value chain margin capture. With the acquisition of Factory Expo, I think we've grown our retail footprint to 31 retail locations. So we have expanded, especially on the digital side of things. Factory Expo is more of a digital retailer that we acquired. As retailers, I think, phase out of the business, there's a lot of aging retailers, there's, a lot of locations and geographies that we can meet, especially more digitally. I think there's, definitely expansion opportunities into retail. Should retailers want to retire or exit the business in some way. And we want to make sure to ensure our distribution and supply for the future.
Operator: Our next question is from Matthew Bouley with Barclays.
Matthew Bouley: That was a helpful quantification you gave on the REIT and builder channels. I guess just focusing on the REIT channel, I think in the past, you talked about some supply chain issues that were maybe preventing that channel from basically holding that channel back on the order side a little bit, maybe now that's behind you? Is the expectation that channel can continue to grow like this in the coming quarters? What are you hearing from those customers? And how should we think about that over your fiscal '24?
Mark Yost: Yes, thanks, Matt. The REIT channel and the community channel, I think, has high demand currently. It's the most affordable, high-quality housing solution, I think, out there for people and they're renting and both selling on a land lease basis. Most of the communities greenfields are starting to expand. We're starting to see transformers which, was probably the critical bottleneck, electrical transformers are starting to come in. It hasn't fully been resolved. There's, still shortages and delays. And I think that concrete is also a limiting factor for some of them, but that's easing up a little bit. But I think concrete and transformers will be the critical bottleneck, which is starting to ease, but it will kind of normalize throughout the calendar year, I believe. Their demand is very strong, and I think it will continue to grow as they have the most greenfield expansions they've planned in the past 20 to 30 years. So I think a lot of greenfield activity is happening in the communities, let alone the repair and replacement of units that are coming upon 40, 50 years old in many of these communities. And then compounding that is obviously the horrible damage that happened with Hurricane Ian in Florida and the number of homeowners who are impacted in communities down there. The REITs have done an amazing job at cleaning and getting those properties organized and getting people into temporary shelter that they can in those divisions. So I think there is substantial demand coming from communities for the foreseeable future.
Matthew Bouley: Got it. That's very helpful color there. Second one, just to kind of zoom into Q4. I know you gave the guide, you gave some kind of early January trends, order cancellation subsiding and quoting, getting better. Presumably, when you say order cancelations have subsided, that's related to the retail channel? But I'm just curious, when you say some trends have improved. Is that across all channels? Is it better than seasonality? Is this kind of what you normally see in January relative to the holidays, just kind of what do you think has driven that sort of uptick and any kind of detail around that?
Mark Yost: Yes, thanks, Matt. I think there's, a few things. 1, the order cancellations that we saw earlier in the year, I think even going into December, we saw cancellations improved by 60% going into December. And then here in January, it's improved another 10%. So cancellations are improved by 70% from where they were earlier in the year. That is mainly on the retail channel side. I would say a majority of that was. And that was really as retailers were trying to right-size their floor plan credit limits. They were needing to cancel orders just to get basically in compliance with our credit facilities. Some of the orders in terms of cancellations were done by some of the REITs. But those were really more cancellations in terms of I don't need it until June. So they're still out there, but they're not in our buildable backlog in terms of the foreseeable future. So, we'll reput those in when they need them in June.
Operator: [Operator Instructions] Our next question is from Mike Dahl with RBC Capital Markets.
Mike Dahl: A few follow-ups here, when we think about Laurie, the product mix impacts, you're coming off some periods where you had a lot of price inflation, mix was a tailwind now you're calling out kind of normalizing lower or just a shift towards lower product mix. When you think about in a long-term context, when you look at what's coming through the backlog in the next couple of quarters in terms of that lower product mix, do you view that as the normalized product mix or is that a mix that would represent now kind of a below normal smaller than normal mix than what you'd expect over the medium to long-term?
Laurie Hough: That's a good question, Mike. I think that it differs by geography, but it's certainly lower -- the mix is going to be lower than what we've seen over the last couple of years. I also think that as the builder developer channel grows, that will impact our ASPs, not necessarily margins, but ASPs to go up a bit because those typically can be larger homes with more features and amenities in the longer term. As we've talked about, those types of supply agreements take a bit longer to develop and materialize.
Mike Dahl: Yes, okay. All right, that makes sense. And maybe also diving into the retail side again, I think if we look at historically, the difference like the retail sales price of the unit, at least grew up census numbers might be 120, 130k. Your wholesale price has been ex the FEMA, somewhere in the 80s to low 90s. But as you kind of mix into that retail vertically, integrated model a little bit more? I think last quarter you might have made a comment that you'd expect ASP to come back down into the 80s as some of the surcharges rolled off. But I'm wondering that retail dynamic, how we should think about that as an ongoing impact to ASP? And if that helps support a higher ASP than you would have previously expected?
Laurie Hough: Yes, certainly, at a retail level, the ASPs are higher than wholesale. It really depends on the relative mix. So as we add manufacturing capacity, we're going to add manufacturing units, right, over the medium to long-term. And it's just -- it's a dependency on how much of the units being sold in U.S. manufacturing are manufacturing versus retail. If that percentage goes -- leans more toward retail because of acquisitions or internal organic growth, then certainly we'll see a shift in the ASP to a higher ASP relatively. Does that make sense?
Mike Dahl: Okay, right. Yes and I guess maybe more specifically the fourth quarter, how should we be thinking about ASP because if you did kind of drop back into the 80s it seems like that alone would be kind of a high single-digit quarter-on-quarter decline, which then may imply that you don't expect unit down much sequentially at all so maybe a little more color on the unit versus ASP dynamic in the fourth quarter?
Laurie Hough: Sequentially, I would expect ASPs to come down a bit versus the third quarter, primarily because of the things I talked about before, the elimination of more of the material surcharges as well as the shift mix more broadly across retail and manufacturing to smaller, less optioned homes.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Mark for closing comments.
Mark Yost: Thank you for participating in today's call. We appreciate your time and your continued interest. We look forward to updating you on our progress on our fiscal year-end call late in May. Take care. Stay well, stay amazing.
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time and thank you for your participation.